Operator: Good morning. My name is Jack, and I will be your conference operator today. At this time, I would like to welcome everyone to the Aptiv First Quarter 2019 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Elena Rosman, Vice President of Investor Relations. You may begin your conference.
Elena Rosman: Thank you, Jack. Good morning and thank you to everyone for joining Aptiv’s first quarter 2019 earnings conference call. To follow along with today’s presentation, our slides can be found at ir.aptiv.com, and consistent with prior calls, today’s review of our actual and forecasted financials exclude restructuring and other special items and will address the continuing operations of Aptiv. The reconciliation between GAAP and non-GAAP measures for both our Q1 financials, as well as our outlook for the remainder of the year are included at the back of today’s presentation along with other supplemental tables. Please see slide two for a disclosure on the forward-looking statements, which reflects Aptiv’s current view of future financial performance, which may be materially different from our actual performance for reasons that we cite in our Form 10-K and other SEC filings. Joining us today will be Kevin Clark, Aptiv’s President and CEO; and Joe Massaro, CFO and Senior Vice President. With that, I would like to turn the call over to Kevin Clark.
Kevin Clark: Thanks Elena and good morning everyone. I'm going to begin by providing an overview of the first quarter highlights and provide some perspective on how we’re thinking about the balance of the year. Joe will then take you through our first quarter financial results as well as our updated financial outlook in greater detail. First quarter revenue EBITDA, operating income and earnings per share all finished above the guidance we provided back in January, reflecting our ability to drive sustained outperformance even in a more challenging macro environment. We delivered 4% revenue growth despite vehicle production declining 5%, representing nine points of growth over market. The result was strong demand for our portfolio of technologies aligned to the safe, green and connected mega trends. And operating income and earnings per share totaled $345 million and $1.05 respectively, driven by volume growth and our industry leading cost structure. The strength of our portfolio of advanced technologies resulted in over $4 billion of new customer awards, which combine with an expanding funnel of new business opportunities put us on track to exceed our prior year record of $22 billion. Given our win rate and new business bookings in the size and scale of our funnel of new business opportunities, we believe its important that we continue to invest in our safe, green and connected technologies even in this more challenging macro environment, thereby further expanding our competitive mode and better positioning Aptiv for sustained value creation. In summary, it was another strong quarter further validating our operating model, portfolio of advanced technologies and our business strategy. Given the increasingly challenging and uncertain macro landscape, I’d like to provide some context for how we are thinking about the remainder of 2019 on slide four. Relative to our initial expectations, our first quarter financial performance benefited from stronger outgrowth in weaker endmarkets, the result of stronger than expected new program launches and content gains globally. In light of the weaker macro environment, we’ve implemented incremental overhead cost reductions in addition to manufacturing and supply chain initiatives to improve our cost structure and be in a position to fund our growth investments. In addition, we repurchased 226 million of our stock opportunistically taking advantage of market discounts, while maintaining a strong and flexible balance sheet. And we now expect share repurchases to total $450 million for the full year. Moving to the right side of the page, we’ve seen a deterioration in key mass [ph] growth underpinning our initial 2019 outlook. Joe will take you through the details in a moment, but we now expect global vehicle production to be down 3.5% for the year versus down 2.5% previously, primarily driven by weaker demand in both Europe and China. In addition, since our outlook in January the euro has weakened relatively to the dollar and commodity prices principally related to resins has seen recent spikes as a result of tightening supply conditions. While our teams are aggressively working to mitigate these impacts with cost reductions and productivity initiatives, the combination of weaker end markets and the changes in FX rates and increased commodity prices are enough to cause us to lower our outlook for the remainder of the year, as we look at the current implied second half ramp up in vehicle production forecasts -- forecasted by many industry experts, we believe our balanced outlook represents a much more realistic perspective. Turning to Slide five we're focused on taking actions that increase the flexibility of our business model and position the company for better true cycle performance. Despite a revised outlook for lower vehicle production resulting from the current weaker macro trends, we remain confident in our ability continue to outperform, driven by increased vehicle content and market share gains, the benefit of more -- of a more balanced customer, regional and market exposure, and our relentless focus on optimizing our cost structure. Our DNA is wired to constantly deliver material and manufacturing efficiencies, while also reducing overhead costs. In 2018, we eliminated 50 million of overhead and stranded costs related to the powertrain spinoff. Turning to 2019, we're executing initiatives targeted to save an incremental 40 million of run rate overhead and stranded costs, including manufacturing and engineering footprint rotation of cost countries, supplier chain initiatives to improve supplier quality while reducing our overall spend, and corporate and back office consolidations that improve service levels while reducing costs. While we expect the benefits of these initiatives to gradually layer in over the coming quarters, we're continuing to prudently fund growth investments including increase engineering investments to support the higher demand for advanced active safety solutions. And increase investment to fund the further development of our automated driving platform, smart vehicle architecture, advanced development programs, and connected services data monetization opportunities. In summary, the constant focus on optimizing our cost structure improves our operational efficiency and frees up investment to fund future growth. Turning to slide six, first quarter new business bookings totaled $4.3 billion, further highlighting our portfolio alignment to the safe, green and connected megatrends, as well as our strong competitive position in several advanced technologies. In our advanced safety and user experience segment. Our expertise in central compute platforms, sensing and perception systems and machine learning is helping to deliver a safer, smarter and more integrated solution both outside the vehicle, with advanced active safety systems, as well as in the cabin, through enhanced user experience and interior sensing solutions. And as a result, we booked eight hundred -- six hundred million and three hundred million of active safety, and info and user experience awards respectively during the quarter. We believe a strong start to the year and active safety bookings puts us on pace to see 2018 as record with well over 4 billion of new awards estimated for 2019. Moving to our single Power Solutions segment, engineer components booked almost 1.7 billion in new customer awards during the quarter. And we also booked over 350 million in new high voltage electrification awards interact [ph] on track to exceed last year's 2 billion of new business awards. Turning to segment highlights in advance safety and user experience on Slide seven, revenues for the first quarter were up 7% that's 12 points over market. The continued strong, consumer demand for Active Safety Solutions drove product line revenue growth of 69% and is expected the roll off of revenues tied to our displays business contributed to a modest decline in Info & User experience revenues. During the quarter, we booked an important Conquest win with Porsche and Audi to supply a smart actuator charging interface controller, which manages the flow of data coming into the vehicle while it charges. Industry experts have identified this as a potential intrusion point out of the vehicle and as such, this is an exciting growth area for our connectivity and cyber security product lines. Turning to slide eight, our investments in scalable vehicle architecture are seeding our next wave of growth, helping to drive the democratization of new mobility solutions globally. As a result, Aptiv is uniquely positioned to benefit today from our smart vehicle architecture, and automated driving investments as the demand for advanced active safety solutions increases. We booked multiple, scalable level two plus customer awards leveraging the integration of our unique satellite architecture and active safety domain controller with our perception systems. Underscoring our technology leadership position last month our ASU X [ph] team was recognized with a Pace award for our work with Audi under automated driving satellite compute platform. This industry first platform developed as part of our strong partnership with Audi. There's been a game changer in the industry and has since been selected by six other OEMs to help them realize and in effect democratize active safety solutions across our multiple vehicle platforms, which underscores our mission. As a complexity of technology increases, OEMs appreciate our value and contribution towards getting the architecture right today, which is critical to delivering the feature rich, how we got into the vehicles they need in the future. Moving to the right of the slide, we recently announced the expansion of our autonomous driving activities to the China market. Shanghai is now the fifth city where we’ve localized autonomous driving operations, joining Singapore, Las Vegas, Boston and Pittsburgh. Our plan is to bring autonomous driving to China, by partnering with the transportation network company and others in the mobility ecosystem, brings us one step closer to the broader adoption of automated mobility in the region. Turning to Slide nine, our single Power Solutions segment is focused on next generation vehicle architectures, including high speed data and high power electrical distribution, that enabled the advanced technologies that will shape the future of mobility. Revenues increased 3% during the quarter, 7 points over market despite the weakening macros driven by 65% sales growth for a high voltage electrification products and almost 40% growth in commercial vehicle and industrial revenues. Underscoring our industry leading position in vehicle architecture, we were recently awarded the high voltage electrical architecture on the Fiat 500. This award validates the increasing need for optimized high voltage architecture across a full range of vehicle types. Before turning it over to Joe, I'd like to take a minute to preview our upcoming 2019 Investor Day theme and topics of discussion. You've heard us talk before about our strategic imperatives and the importance of building a strong, sustainable business that delivers long term value to all our stakeholders, through the relentless focus on having the right people, a portfolio of market relevant advanced technologies, and a continuous improvement mindset. We believe this formula leads to a more sustainable business that is better positioned to perform through cycle. And we've seen evidence of this the last two years with record growth over market despite declining vehicle production, putting us on the path to deliver on our 2020 to revenue targets in a weaker macro environment. Positioning us to see the investments in future growth initiatives that will lead to new solutions and new markets, and that will allow us to achieve our vision for the company in 2025, which we believe results in a differentiated and compelling investment thesis for Aptiv. In summary, we believe Aptiv is well on its way to becoming the Tier 0 partner of choice for our customers, capable of delivering the advanced architectures and optimized solutions that are making the future of mobility real. With that, I'll hand the call over to Joe to take us through the first quarter results, and review our outlook for 2019.
Joseph Massaro: Thanks Kevin. And good morning, everyone. Starting with our first quarter revenue growth on Slide 11, revenues of $3.6 billion were up 4% adjusted despite a 5% decline of vehicle production in the quarter. From an organic standpoint excluding acquisitions, we estimate revenue increased approximately 1% with organic growth over market of 6%. As a reminder, KUM is fully integrated, and will lap itself in the second quarter, while Winchester Integration continues and will lap in the fourth quarter. The strong launch volume and content gains we had in 2018 continue in 2019, helping to offset price and the unfavorable impact of effects in commodities. From a regional perspective, we saw outperformance in every major region of the world despite lower vehicle production across the board. North America revenues were up 7% adjusted, driven by multiple new platform ramp ups and the addition of Winchester interconnect. Europe had 11 points of growth over market, driven by the uptick of several new programs and our China adjusted growth was negative 12% with three points of growth over market. Although China vehicle production was lower than our original expectations, we continue to see growth in key product lines, including active safety and high voltage. I'll provide an update on our production outlook for the year shortly. Turning to Slide 12, as Kevin indicated, first quarter EBITDA operating income and EPS were all above the midpoint of the guidance we provided back in January. EBITDA and operating income of $518 million and $345 million reflected the benefits of strong volume growth in North America and Europe, which were more than offset by volume declines and effects in commodity headwinds in China and U.S. China tariffs. Operating income margin adjusted for FX in commodities and tariffs was 10% percent reflecting lower production volumes while continuing to invest in future platform growth and advance safety and user experience, as Kevin referenced earlier. While favorable to guidance, tariffs were $6 million headwind year-over-year reflecting lower demand levels in the region and a 10% tariff rate for the full quarter. Earnings per share of $1.05 were $0.05 above the midpoint of our guidance, driven by higher operating income. Net below the line items were favorable year-over-year, largely driven by a lower effective tax rate of 11.3%. However, versus guidance, this benefit was offset by other items primarily higher interest expense associated with the debt refinancing we did in the quarter, which I'll cover in more detail shortly. Moving to the segments on the next slide, for the quarter, advance safety and user experience revenues grew 7% or 12 points over market, driven by new launch volumes and robust growth and active safety, more than offsetting the planned roll off of our lower end display audio product line and Info & User experience. Operating income before the impact of higher mobility investments benefited from strong active safety margin expansion despite higher planned engineering investments to support our strong backlog of new wins and pursuits. As a result, we now expect active safety revenues up 50% for the year with low teens operating margins. Our mobility investments for the quarter, totaled $47 million and we remain on track to target spend of $180 million. In summary, another strong quarter of revenue growth and operating leverage in the advanced safety and user experience segment. Turning the Signal & Power Solutions on Slide 14, revenues were up 3% or 7 points over market, driven by new program launches in North America, strong growth in our CV & Industrial end markets, and continued robust penetration of high voltage electrification. Operating income margin adjusted for the dilutive impact of FX commodities and tariffs was 11.3% down 200 basis points due to lower production volumes primarily in China. FX and commodity headwinds were largely driven by the weaker euro, and RMB, in addition a higher resin costs, as previously discussed. We expect FX and Commodity headwinds to continue for the remainder of the year, and have contemplated this in our revised outlook. Given the continued challenging macro landscape, slide 15 provides a refresh of our vehicle production assumptions, underpinning our updated revenue outlook for the year. We saw deteriorating trends escalating in Q1 with global vehicle production down 5% in the quarter. Meanwhile extended macro uncertainty, regulatory constraints and continued weak vehicle sales particularly in Europe and China have caused us to revise our vehicle production outlook lower for Q2 and the remainder of the year. At a global level, we now expect vehicle production to be down 5% in the second quarter consistent with Q1 and 3.5% for the full year. From a regional perspective, we now expect China production to decline 12% the second quarter and 9% for the year. And while we continue to experience strong growth over market in China, driven by double digit growth in our key product areas, we are preparing for structurally lower industry volumes going forward, and will continue to take additional actions to adjust our cost structure in the region as a result. Turning to Europe, we now expect vehicle production to decline 9% in the second quarter and 4% for the full year, driven by lower customer demand and certain program launch delays. Lastly, we see North American production largely unchanged, as OEMs launched new truck and SUV platforms to offset continued passenger car revenue declines. Despite the more challenging global market, we continue to expect our portfolio of safe, green and connected technologies and balanced regional customers -- customer and industrial market mix to more than offset the automotive macros, contributing to strong growth over market in every region. As a result, our adjusted revenue growth rate for the year remains unchanged at 6%. Turning to Slide 16, second quarter revenue is expected in the range of $3.6 billion to $3.7 billion up 5% at the midpoint or 9 points of growth over market. As I mentioned, that assumes global vehicle production down 5%. In addition, to $1.12 [ph] euro and a RMB690. Operating income and EPS are expected to be $385 million and $1.14 at the midpoint respectively, and includes estimated tariffs of $12 million in the quarter. Assuming the list three step up rate to 25% takes effect June 1st having been previously postponed. As a result, EPS is expected to be in the range of $1.11 to $1.17. Moving to the full year, revenues are now expected to be in the range of $14.425 billion to $14.825 billion up 6% at the midpoint. Adjusted EBITDA and operating income are expected to be $2.395 billion and $1.67 billion at the midpoint respectively. It's important to note our outlook includes over $130 million of FX, commodity and tariff headwinds for the full year. In aggregate, we believe these are mostly short term impacts that should improve in the back half of 2019 and 2020. And given the strength of our market position and bookings pipeline, we continue to make the investments in active safety and high voltage to support sustained, strong revenue and income growth. U.S. China tariffs are now estimated at $50 million for the year, down from our prior forecast of $60 million due to the delayed increase in the list three step up rate and lower China volumes. As a result, earnings per share are expected in the range of 490 to 510 and operating cash flow is now expected to be $1.65 billion reflecting higher restructuring cash for the year. No change to CapEx spend at $800 million. Turning to the next slide. We thought it would be helpful to provide more detail on the full year outlook guidance change, starting with the revenue walk on the left. You can see the first quarter outperformance is being more than offset by $170 million dollars of unfavorable FX and commodity translation with the euro now estimated at $1.12 for the year versus our prior outlook of $1.17. And our revised vehicle production outlook results in $150 million lower sales for the year. Moving to the operating income walk on the right, our updated operating income outlook similarly reflects our first quarter volume upside, the flow through of our updated FX and commodity assumptions, lower vehicle production volumes, partially offset by the benefit of incremental, structural cost actions Kevin mentioned earlier. The annualized impact of these actions are roughly $40 million and will further improve our flexible and scalable cost structure in 2020 and beyond. In summary, the strength of our revenue growth in the face of lower vehicle production underscores our portfolio positioning, while we continue to fund growth investments that are resulting in significant share gains. Turning to Slide 18. Our strong and flexible balance sheet allows us to execute our strategy for growth and create value for shareholders. In efforts to maintain our low net debt, conservative leverage profile and improve long term business flexibility, we refinanced $650 million of 2020 senior notes to 2029 and 2049, extending the weighted average tenor from 7 years to 12 years with a significant portion of 30 year debt. As a result, there are no significant note repayments due until 2024. This refinancing resulted in $11 million higher interest expense versus prior guidance which we will offset by our revised share repurchase outlook for the year, which now totals $450 million. At the same time, our M&A pipeline remain full. We remain focused on a accretive bolt-ons similar to [Indiscernible] Titan KUM and Winchester, which provide attractive end market diversification as well as strategic technology equity acquisitions, where we have the opportunity to accelerate the commercialization of new technologies. As a result, our consistent capital deployment strategy remains focused on investing in our business, both organically and inorganically and opportunistically returning cash, excess cash to shareholders. In summary, we believe effective capital deployment is a major differentiator for Aptiv and an important lever for shareholder value generation. With that, I'd now like to hand the call back to Kevin for his closing remarks.
Kevin Clark: Thanks Joe. Let me wrap up on Slide 19 before opening it up for Q&A. Our first quarter performance was further evidence of Aptiv’s ability to drive sustained, above market growth. While our updated 2019 outlook contemplates a more challenging macro environment than we expected coming into the year. Our teams are focused on executing our strategy, and we believe it's critical that we balance continued investment in our promising future, with a relentless focus on increasing the flexibility of our cost structure, thereby creating more operating leverage when macro concerns abate. We believe our unique formula further differentiates Aptiv as a company capable of capitalizing on the key global auto 2.0 megatrends, driving increased vehicle content and market share gains, while also building more predictable and sustainable business with robust downtown resiliency, better positioned to perform in any macro environment. Lastly, we remain focused on delivering value to our shareholders, building upon our strong track record of operational execution and value enhancing capital deployment. With that, let's open up the line for Q&A. Operator?
Operator: Certainly. [Operator Instructions] Joe Spak with RBC Capital Markets, your line is open.
Joe Spak: Thanks. Thanks for taking the question. The first one is just on and on the on the chart in the Slide 17 I guess where you have the change in the guidance walk. The net incremental performance is that -- is that something that new that you sort of use some of your flexibility to sort of help offset some of the incremental volume pressures we've seen, so like the way to think about it is that minus 55 plus that 10 over the change in 150 which would sort of be like that 30% detrimental margin, or is that just sort of stuff that sort of already in the system that you just has been coming in better?
Kevin Clark: No, it's incremental Joe. The first way to think about it the right way.
Joe Spak: Okay.
Kevin Clark: So as we're looking. So as we're looking at these production volumes coming down and again assuming lower level of production going forward in some of these markets, we are we are taking another look at the cost structure and working that through so that that would be incremental to what we've talked about in the past.
Joe Spak: Okay. And then, maybe just on the way, I noticed you provided the slides in sort of organic growth I just -- this is a little bit of housekeeping, but how are you getting to 7% in U.S. U.S. segment because if you look at the change I'm just trying to. Sorry quickly find a slide on, you only show like a $29 million positive on the $1.32 billion.
Elena Rosman: So within -- there is some divestiture revenue related to the wind down of some contract manufacturing in that business, Joe.
Joe Spak: Okay, so that’s the difference, okay.
Kevin Clark: Yes. You have it -- you've got that that's where I refer the M&A is net. So you’ve got the ads from Winchester and KUM and the contract manufacturing coming down from prior divestitures.
Joe Spak: Okay. Thanks.
Operator: Brian Johnson with Barclays. Your line is open.
Brian Johnson: Thank you. A couple of questions. So we we've sort of been in the past the impact of copper, which is mostly my understanding past or the lag over in SPS. Now we're seeing resin, so can you talk about whether these are contractual pricing mechanisms. I assume ,this is on the connector side although maybe it seems -- the wiring. What is it? What if, what are your contractual provisions around that? And then what gives you some confidence in recovery of those or whether we would cover some of those?
Kevin Clark: Brian, it's Kevin. I'll start. So it is resonant as you're right, it's resonant principally related to the connector or engineered components business, and it relates tightness in the supply chain from an available capacity standpoint. It's actually some of the additives that go into into some of some of the resins like PA 66 [ph] and others that are out that are out there. We started to see a significant increase late last year for a relatively large increase into our business plan for 2019 as we exited 2018 and saw incremental tightening of supply and incremental pricing. And given growth on some of our product lines, the reality is we need to buy some of that product out on spot on the spots market, relative to our contractual provisions. And those have been at least to date at much higher rates. We're working to push those through to customers. We've had some success but in light of some of the softer volume, it's been a bit more challenging to do, something that we'll continue to work through. While we are doing that, we're also in the process of validating other resin alternatives to replace existing. For example like PA66 to replace that that sort of resin with alternative products that are automotive grade and are validated by our customers.
Brian Johnson: Okay, so this is more driven by developments in the chemical industry than the impact that drives the [Indiscernible].
Kevin Clark: Yes, it’s more driven by quite frankly a limited supply on one of the components or additives into products like PA66 where we've actually seen some facilities, temporary facility shut downs. Significant price increases as a result of the shortage of supply and again demand for select products where we need to go out on the spot market and actually buy the resin. And as I said, we forecasted what we had in our plan a significant increase on a year-over-year basis, but we've actually seen much higher, much higher prices than what we what we originally anticipated.
Joseph Massaro: And Brian, just to get [Indiscernible] so this would be, this was the cross ECG [ph] and so this is -- there's some of this in Heller and tightness as well. We've typically through the industrial channel, we're able to push price easier than the automotive channel. It just takes a little bit of time and I would say move -- moves in his resins historically have been oversize where we've been able to sort of manage them in the sort of in the daily flow of sort of back and forth. This is a particularly high spike that we see lasting through the balance of the year. It's going to take a little more time to work through.
Brian Johnson: Okay, follow up slightly different topic. So, I just – your bookings were actually down year-over-year you’re on track. So are there big things that just in terms of timing that are – 2Q with 3Q?
Kevin Clark: Yes listen, Brian I -- as we said bookings are lumpy, so I wouldn't read into quarter-to-quarter, year-over-year kind of quarter-to-quarter comparison. So when we look at the funnel of opportunities especially in areas like -- vehicle electrification our high voltage the funnel is actually larger this year than it was last year at this point in time. So we have a high level of confidence that bookings for the year will be over $23 billion. So and on the active safety side over $4 billion. So I wouldn't read into a single quarter.
Brian Johnson: Okay, thanks. See you at the Investor Day.
Operator: Your next question comes from the line of David Tamberrino with Goldman Sachs. Your line is open.
David Tamberrino: Yes, hi, good morning. A couple of questions. The first one, can we dig into the Signal & Power Solutions business. I mean, I think you probably went through in your prepared remarks unfortunately it wasn't on for that, but I think the detrimental for that business was like 120%. I'd really love to just understand the puts and takes there. If that should be continuing throughout the year and that's my first question?
Joseph Massaro: Yes, David, I think the way -- the way to think about that you know when we talk about the FX Commodity impact, those and the majority of tariffs those all hit and SPS. Right. So it’s 90 plus percent of the numbers, those numbers that we talk about from at an app to what will actually hit that segment. So that's the majority of what you're seeing there from a flow through perspective. I think the other thing that's impacting that, again at a slow level and it's you know we've known it, and it's one of the reasons you know we're sort of in the Q1 guide. At the OI level, you've got the legacy business down 12% in China for example. You've got new business from KUM and Winchester coming in, but obviously at a lower -- rate given the deal amortization. So you've got a little bit of that, that going on. We’re in a typical -- you know a typical situation you wouldn't have China coming down so much, so you wouldn't necessarily see that that negative flow and we'd expect to start to lap that in the back half of the year. But the primary reason, when you think about SPS is the FX, the Commodity, the tariff hit that segment.
David Tamberrino: Okay, then sort of excluding all that, I mean what target detrimental’s would you think that business would achieve?
Joseph Massaro: That business, yes, that business should be, I mean, we talked about detrimentals 25% to 30% of that business would be closer to the lower end of that range.
David Tamberrino: Okay. And then for my second question, a lot of new headwinds that you're calling out for the remainder of the year. What opportunities you have to mitigate some of them, are you going to be able to pass through some of those price increases and what type of lag time could we be looking at?
Kevin Clark: Yes. David, I’ll start. Listen, I mean the first action Joe answered the first question with respect to kind of cost structure activity. So, as a result of the slowdown there, we fall forward a number of initiatives that relates to footprint consolidation into this year that we’re planning for next year, as well as have taken incremental actions in light of the significant slowdown in China. So, when you look at China for outlook for the year and back half of last year, the reality is we're forecasting six straight quarters of vehicle production decline. And, in light of that, it's important that we continue to reduce our cost structure. We'll implement the initiative in the fourth quarter of last year from a footprint and headcount standpoint. We're going to take further action in that region. They said we're going to pull forward some of the plans that we had in the rest of the globe as a result of the lower vehicle production. As it relates to things like resin and FX, resin were pushing real hard from a customer standpoint, from a pricing standpoint. As Joe said, we can't flip the switch overnight, but I think we feel comfortable. Those are things that over the balance of the year, we should be able to abate. So as we head into 2020, we're in a net neutral position that will be a mix of price increases as well as is replacement product for things like PA66. So that's something that we think we can meter in for the balance of the year. And then, there is several areas that we're looking at from an overhead and corporate standpoint through the streamlining and tightening our belts. The one area that we've spent a lot of time looking at and thinking about is the advanced engineering and the pursuit engineering areas. We at this point of time feel strongly that that's not an area we should touch. We've had tremendous success as relates to smart vehicle architecture. We now have won our second advance engineering program, a significant success in our [Indiscernible] or active safety business. And there are several other areas that we feel like we're getting a lot of traction. We're gaining tremendous market share. Joe talked about the margin growth on a year-over-year basis in some of these areas. In our view, is we should just continue to invest so that we can be dominant in those particular areas and widen the competitive moat. But, that's an area that if we continue to see significant softening that's an area that we continually evaluate.
David Tamberrino: Okay. And that's not -- none of that contemplated within the guide, correct?
Kevin Clark: No, none of that's contemplated in the guidance.
David Tamberrino: Right. Thank you very much.
Operator: Chris McNally with Evercore. Your line is open.
Christopher McNally: Thanks so much. Maybe we'd start on the production guide for Europe. Looking at your Q2 in the second half of you’re definitely more conservative than the forecasters, which I think many people are saying the hockey stick and second half looks a little bit too aggressive. But I wanted to just hone in on -- are you getting any early indications around RDE [ph] and is there some bit of conservatism baked in for the changeover that that happened at the end of Q3.
Joseph Massaro: Yes, Chris, I would say over the course of March we saw European customer schedules come down significantly in Q2. Right. So we've got Europe down 9% in Q2. So there's a bit of when you talk through it with customers this Brexit uncertainty still out there. I think that has been kicked [ph] through October. You have RDE [ph] there may be a little bit of China contingent as well as some of the higher end models which in our European business we are on the bigger, the bigger platforms that are in some cases exported out. So I would say it's that combination of things as you look, the other you know and Kevin mentioned in his comments. The one thing we've tried to do is be very prudent on just how big that back half ramp gets. And when you looked at – when you look at China down 15 points now 11 in Q1 down again in Q2, a little bit more than we were forecast that half a point to a point. And now with Europe, we just wanted to make sure we were thinking probably about the business, planning accordingly, taken the actions and not just assuming this big snapback. And that's really what you've seen us work through Q2 in the back half of the year.
Kevin Clark: Yes Chris, I would say the second quarter was the first time we've seen actually shifting out of program launches, vehicle program launches. And that penetration of our -- of our product, but actually delay and vehicle launches from always in the year, which isn’t good.  And then to Joe's point, it's from a credibility standpoint, it's tough to sit and say, China is down double digits the first half of the year and it’s going to rebound and have growth, significant growth in the back half of the year. And from our perspective, we think it's prudent to assume there is some back half improvement, but it's much more muted.
Christopher McNally: Okay. That that makes sense. And then the second on the FX and commodity, I think the 60 million drain on 170 million sales, should we think about as you talk about the resin, I just run you know if I think about like a detrimental margin. The resin 40 million hit is just straight to the bottom line. And then the other the other 20 should be the FX translating at slightly above company average margins.
Joseph Massaro: Yes, that is correct.
Christopher McNally: Okay, great. Thanks so much guys.
Joseph Massaro: Thanks, Chris.
Operator: Dan Galves with Wolfe Research. Your line is open.
Dan Galves: Hey guys. Good morning everybody. Good morning. I just had a couple of questions. Just to clarify when you say, you'll be back at kind of a neutral position on resins. You know what do you mean by that? It’s I guess, I'm just trying to see if there's an opportunity to kind of reduce some of this 40 million headwind over the course of the year, or is that something that you're looking to get back to neutral heading into 2020 at which point you'd have a kind of a positive year-over-year?
Joseph Massaro: Yes. Listen, our objective would be to get it back. Our objective would be to get it back to neutral as soon as we can. I think, there's a reality in terms of validating new materials with our OE customers that needs to be taken into consideration from a timing standpoint. Increase price. That's something that obviously needs to be negotiated and pushed through. That's a little bit tougher in a weaker environment quite frankly than it is in a harder environment. But we think between the two, we'll be -- we'll be able to offset it. Dan, we'll work real hard to pull that forward, and get it done as quickly as we can. But probably, the prudent thing is to assume it's not a net neutral or we're not at that point till year end. And then for next year, it means it's not a headwind. You don't have the same headwind from the – from a year-over-year standpoint.
Dan Galves: Got it. Okay. Thanks a lot. The other question is you know somewhat kind of dovetailing to what you said about a tougher environment to get relief from the customers. The program launches that you're talking about in Europe. Do you think that that's related to emissions programs, the regulations that are coming in next year? Fine. It seems like there's a lot of uncertainty there and kind of what are you hearing in terms of desire of OEMs to try to offset some of the kind of regulatory costs they're facing in Europe through kind of broad actions into the supply chain?
Kevin Clark: Yes. Listen, I think that the environment was the supply chain, again and not to give you the same answer all the time. It continues to be challenging just as it always has been. As it always has been, so I wouldn’t say that there is necessarily incremental pricing pressure. I think it continues as it historically has. I think with respect to shifting vehicle production, it's tough for us to get precise visibility to what drives that. I'm sure some of that's regulatory, some of that's cost some of that's funding investment. This particular product line is one that that the OE will certainly introduce. So it's not a cancellation, it's just a shifting or delay that has a revenue impact on us. But I think it's a bit of all of the above. Right. The regulatory environment cost as well as capital you know capital constraints.
Joseph Massaro: Yes, Dan, just to follow up, we're still at 2% price for the year. So we're not know -- we're again to Kevin's point we're sort of always working through that with customers but haven't seen any significant, haven’t had any significant changes on our expectations on price for the year.
Dan Galves: That's really helpful. Thanks a lot Joe and Kevin.
Kevin Clark: Thank you.
Operator: Your next question comes from the line of Emmanuel Rosner with Deutsche Bank. Your line is open.
Emmanuel Rosner: Good morning, everybody.
Kevin Clark: Hi, Emmanuel.
Emmanuel Rosner: So I was hoping to zoom in on the the volume piece of the headwind. So of course I believe, I understand some of the things you said on FX and commodities. But, whether I look at the first quarter specifically or the updated sort of like full year guidance it just feels like the volume impact is just sort to reflect dramatically more negative than you know then generally it may be expected. So I'm looking for example, it's your year-over-year walk within you know Signal & Power solution on Slide 23. You have sort of like a positive volume on the revenue side some 71 million but like deeply negative impact from operating income in of negative 59, and that excludes obviously FX and commodities that on the following line. And then on a full year basis, obviously in your -- in your slide 17 obviously the extra volume hit seems to be carrying a 30% plus 35% up of detrimental margin on there. So, can you just a long question I apologize, but can you just zero in on the volume piece of the headwinds and what is it that makes it so deeply negative? I guess, in the quarter and then on the -- on the outlook?
Kevin Clark: Yes, Emanuel you're right. It's a good question and it applies to both Q1 and Q2. Obviously, we knew in effect that we had in the guide. I think we touched on it during year end is related to the Q1 guide. You know, we do have when production comes down that quickly, whether it was China in Q1 we're seeing some of it in Europe Q2. You know that we will have, we will have negative flow from a detrimental perspective. And I would say in each quarter, I'd call sort of the negative flow about $50 million that we're working through again for Q1, we had expected it. Q2 it’s going to be a little bit more than we originally expected just given the recent takedown in Europe. The cost actions will come in to help offset that, but particularly in Europe, those take a little bit of time before they hit. So you've got that. And then, I think you've got the added of and I mentioned that earlier, you know when the acquisitions come in they come in at a lower -- rate because of the deal amortization side. So I wouldn't call it mix. I'm not implying that, but you just the revenue that's in there is flowing a little bit lower in the first four, six quarters after an acquisition because we're working up synergies, but have the purchase accounting in there sort of out of the blocks. So that's really what you're seeing and we've quantified it at about 50 million and in each of the two quarters. More China related in Q1, more Europe related in Q2. But again, within our original guide certainly for Q1.
Emmanuel Rosner: Okay, that’s helpful. And so, the second part of that question the -- for the guidance walk when you have sort of like a 150 million extra headwind on the volume side, and 55 million operating income that that's sort of a much more normalized type of detrimental margin.
Joseph Massaro: Yes. And so what we get. What we're seeing in the back half of the year is that flow starts to normalize right. We've got, we've got sort of for H2, the back half of the year. Flow returns though to more. You know we should be falling somewhere between 25% to 30% on an average quarter, some quarter is a little different. But that starts to return. So we start to make, we start to make up on that.
Emmanuel Rosner: Great. And then I wanted to follow up on my question from last quarter around the longer term margin outlook. So essentially, you've had a framework of a consistent margin expansion and I think you know we fully understand the sort of environment that we're in and a lot of the headwinds some of them expected some of them that have surfaced more recently. When you sort of like look beyond that. Are you still comfortable with the idea that this you should be able to consistently keep growing margins or has the environment fundamentally become more challenging?
Joseph Massaro: There’s certainly more challenging. What are some of these transactional items, the FX or the tariffs, but I’d answer in sort of two parts, and then coming from certainly [Indiscernible]. When we talked about margin expansion, there were certain underlying things that had to happen in the business for us to get comfortable that we could continue to expand margins. Good examples active safety that business would continue to grow as it grew, it would expand margins. That we're certainly seeing. Right, active safety is going to be over, well over a $1 billion this year with low teens operating margins. And back you know in September 2017 when we provided sort of our thoughts on margin expansion that business had just was just about to break even. So things like that, high voltage is another very similar example of that. So, so the core underlying things that needed to happen in the product lines and how we run the business have happened. We are certainly dealing with sort of some of the FX and tariffs. We don't give up on those. They're hard to deal with in a particular quarter over a particular couple of quarters depending on how significant the move is. But you know we’ll continue to remain focused on that cost structure to work to offset those. But I'd say that the underlying product line growth the underlying business developments that needed to happen for us to be able to say we're going to grow margins is certainly taking place. Kevin I don't know.
Kevin Clark: Yes. Listen, I mean, I just hear the framework is intact and remains. I think the challenge we're dealing with right now is a decline in vehicle production significant decline of production in China right. And a protracted decline in China. The impact of FX rates and then in this particular case, the resin challenge that we have on a year-over-year basis, that you know we'll find substitutes will push the price and in reality there's somewhat it fixes itself as more is more capacity comes online during 2020. So I think there's to Joe's point, there's some one-off items that can affect that model. But from our long term standpoint, the model remains intact.
Emmanuel Rosner: Great. Thank you.
Kevin Clark: Thanks, Emmanuel
Operator: John Murphy with Bank of America Merrill Lynch. Your line is open.
Unidentified Analyst: Good morning, this is [Indiscernible] for John. First question, and the -- good morning. The cost saving actions that you're perceiving. I believe you said its $50 million in 2018 and $40 million in 2019. Is there more room to go and rationalize costs if the broader macro environment remains tight and we don't get this inflection in the back half of the year?
Joseph Massaro: Yes. Listen, the 50 was last year, the 40s run rate just to be clear, the 40s run rate for 2019, $10 million of which will show up just given timing a portion of which relates to regions where you can't as quickly get people out. Yes, I mean, we have a cost structure and we have the ability to adjust that cost structure in response -- in response to one, how we manage the business, but to especially in times when you have a slowdown in vehicle production some of that naturally happens like direct labor when you take people out of the factory indirect labor things like things like that. There are other areas like corporate overhead that we've been working on, on a regular basis over the last several years and will continue to continue to work on. And then that last area is the engineering area and as we talked about earlier, that's an area that spending is up significantly on a year-over-year basis. I think we're up roughly $100 million between mobility spend and engineering spend in our ASU acts, principally our ASUEX and our SPS [ph] business. But we've gained tremendous traction from a market share and customer acceptance standpoint. So we've been reticent you know given the number of programs we've won, given how we're positioned to go after that in and out of any ordinary course way. Obviously, we're always focused on how do we make the engineering factory more efficient, more productive. But incremental reductions, restructurings those are things that we've shied away from. To the extent you had a protracted slowdown or you didn't see the snap back that's something that we'd have to evaluate in light of our customer commitments.
Unidentified Analyst: Great. That's very helpful. And looking at Slide 15 for a second and focusing in on China, in terms of the adjusted growth expectations it looks like you're expecting some more pronounced adjusted growth versus market in 2Q relative to H2. Is this just a function of product launches that are more weighted to the second quarter, or could this be just some conservative in the back half?
Joseph Massaro: No there's a lot of launch activities. Our China launches are up almost 70% year-over-year in the second half of the year. And launch in across all over a broad swath of our customer base. So there's just a lot of new products coming to market and in the back half of the year.
Unidentified Analyst: Okay. And then….
Kevin Clark: One item -- if I can just one item implying to your question. And I think Joe answered the question really well. I think as we look at our outlook for vehicle production in the back half of the year, we don't view it as overly conservative. And industries tend to run in trends, and seeing more rapid snap backs, and things like vehicle production that that's not something, although mathematically when you look at things, year-over-year from a growth rate standpoint. So for example, the decline vehicle production in China in Q3, 2018 and Q4, 2018 relative to the first half of the year you can mathematically arrive there. We think from an operational standpoint, it's tougher in reality for our customer base to do that.
Unidentified Analyst: Okay. And one last housekeeping question if I may. The slight decline in your operating cash flow outlook relative to the one you provided earlier this year. Is that purely just a function of higher restructuring costs as you know on slide 16, or is it a combination of that with a slightly lower profit outlook?
Joseph Massaro: No, I mean, cash will perform well on cash. We did take 50 million out of the outlook just as you know we've got these additional cost saving actions. So we're going to have to pay for those. So we wanted to -- we wanted to have a balanced perspective there, but now cash, cash working capital where we're performing in line with expectations.
Unidentified Analyst: Great. That's it for me. Thank you very much.
Joseph Massaro: Thank you.
Operator: [Indiscernible] with Macquarie. Your line is open.
Unidentified Analyst: Hi. Thanks. You spoke last quarter of moving production out of China and into Korea. Are you still sticking with those plans? I guess where are you within that process with customer validation and then what's embedded into your guidance? Then I have a follow up.
Joseph Massaro: Yes. I know the moves still there. As we said, we were assuming tariffs. We're going to operate as if tariffs don't go away. We had an advantage in that the acquisition KUM had a similar product line on these media modules to what we needed to move out of China. So that process has begun. The production line stood up in Korea. We're in the process of but we're still manufacturing out of China but we're in the process of ramping in manufacturing samples for customer validation and customers starts to go into the plants to validate and approve the lines. When end of May, June so we'll know we'll be tracking as originally expected and that's what's -- that's what's in the guidance.
Unidentified Analyst: Okay. Thanks. And then there's been a lot of news in the market around autonomous and robo taxis and given that you have a commercially deployed autonomous vehicles. Can you maybe just talk about your expectations for when full autonomous service is feasible and addressing that question I guess from two perspectives, one from a technology perspective. When will technology be ready versus a regulatory perspective? Thanks.
Kevin Clark: Yes. Listen I -- know we've publicly stated in the past, we expect to have a driver out of the car first late, the first half 2020. And actually vehicles out from a commercial standpoint in 2022 with 2025 revenues of $500 million tied to automated driving for mobility services. So, our view of the technology, the maturity, the technology and the roll out of the technology quite frankly has not changed. We think it's something that there'll be great demand for the most significant applications. Early on, we'll be with mobility players or fleet owners and then later in 2020 as you know probably around 2030 you're going to see stepped up consumer demand just given the maturity of the technology and getting the technology to a commercial rate or commercial costs that consumers are willing to pay for it. So, our outlook quite frankly has not changed. I guess the one area where maybe it's changed a bit is with respect to level two plus, level three systems where we're now in the last 12 months seeing significant demand from several OE customers with respect to that technology. We won roughly seven programs last year in that area. So advanced ADAS is growing much faster than what we would have anticipated over a year ago and the AD market is right where we thought it would be.
Unidentified Analyst: Great. Thank you.
Operator: David Leiker with Baird. Your line is open.
Joe Vruwink: Good morning and this is Joe Vruwink for David. Good morning. There's been a lot of discussion this earnings season by other suppliers about how the heavy launch cadence across the industry front loaded engineering requirements for new launches is diluting profitability. You've talked a lot about your profitability, but it doesn't sound like it's at all related to your backlog or out growth. Is that fair? Are the new programs you're launching in line with your expectation in terms of their levels of return?
Kevin Clark: Yes. There's significant investment related to launching those new programs. But it's in line with what our expectations were quite frankly when we bid on the programs when we won the programs and what we have had in our forecast and outlook, so, no change at all from our standpoint.
Joseph Massaro: Yes. I'd say the one thing that we certainly focus on ensuring the business does and this is to Kevin's comments about expanding mode or growing share. You know the more you do of these the better you get. And you've got resources capabilities in the organization and you can start to leverage as well. So again I think as we continue to do these we're starting to see that. I mentioned earlier that active safety OI margin for the year is going to be in the mid-teens that's burdened with its engineering expense. That you know we run the P&Ls sort of every top on its own bottom. So that's in those numbers.
Joe Vruwink: Okay, great. And then a follow-up. I think the end market forecast and the view into the second half are prudent. At the same time some of your technology partners at Tier 2 level, so electronics or semis have actually started talking about sequential order improvement for their business. So it seems like the trends maybe they're seeing, are the requests they're getting are perhaps a bit better than the views you're outlining? Do you think that both can coexist or are you maybe just a little more prudent and how you're planning on a go forward basis?
Joseph Massaro:  I think -- though that -- I understand the question on triangulation. So, if I had the answer that I'd say what they're seeing is our out growth, right. They're seeing increases in the content, particularly if you're on some of the higher end semi guys the GPU folks you know that's what we're seeing. I mean our active safety business is growing 50% this year. So there's -- that is how I would think it's triangulated. I haven't done that. I haven't walked it all through, but just off the top of my head and that's how I would think you should triangulate those logically.
Joe Vruwink: Okay, great. Thank you.
Operator: David Kelly with Jefferies. Your line is open.
David Kelly: Good morning. Thanks for taking my questions. And a quick follow up on the active safety discussion. Competitor reference some active safety headwinds tied to unfavorable mix I believe within the premium market. Are you seeing anything in any subset of the market that would suggest any active safety headwinds are either taking place now or might be on the horizon whether it would be delayed product adoption or customer discontenting?
Kevin Clark: No. Listen, our active safety business is going to grow north of 50% this year and in fact we'd say we've seen an accelerated demand from our customer base. And I think for us when you look at the absolute numbers at some point you'll see slowing growth rate but it will be law of large numbers versus good customer demand or market penetration. I think it's important when you put in perspective globally, active safety I believe it’s roughly 15% penetrated globally and it's a technology that, one helps OE sell cars, two, they make a lot of money selling it, and three, once consumers have been in a car with an active safety solution the likelihood of them purchasing a car or replacing a car without it are slim and none. So we see tremendous growth opportunities going forward and have not seen any delay cancellation and that’s actually in the contrary.
David Kelly: Okay, great. Thanks. And just quickly switching to Slide nine here at the commercial vehicle and industrial growth. I guess, could you discuss the impact of Winchester on the quarterly growth rate? And similarly how does should we think about organic full year growth and maybe high level where you're gaining traction in the commercial and industrial markets?
Elena Rosman: Hey, David this is Elena. The organic CV and industrial market growth in Signal and Power Solutions is mid-teens. That's consistent for our outlook for the remainder of the year.
Joseph Massaro: So that's sort of the organic and adjusted, you know we're seeing end markets we're seeing growth, CV is off to a really good start this year for us. We expect that to continue looking at about 18% adjusted CV growth for the year that's in both the ASUEX business where things like the infotainment user experience, active safety start to take hold. And then SPS also has a -- as has been increasing their product offering in the CV space. So we view that as a potential. That's a good sort of growth over market story for us too. We have that market grow into sort of 2% to 3% for the year or so. Strong out growth. As it relates to Winchester Mil-Aero continue to be strong. Other industrials are in line with our expectations. So continue to see sort of that play out according to plan as we work through diversification. I think our non-auto revenue this year will be close to 13%. If you go back a couple of years it was mid-single digits. So we have -- we are moving the needle from a from a revenue diversification which again is as you probably aware is part of plan as we think through cycle performance and how to make the business more resilient through certainly through the auto cycle and getting some revenue diversity.
David Kelly: Great. Thank you.
Operator: Colin Rusch from Oppenheimer. Your line is open.
Colin Rusch: Thanks so much for getting us in. Could you talk a little bit about the mix in China in terms of new startups and existing OEMs as you look at this year look to really understand how much you're helping those folks get their business up and going?
Joseph Massaro: Yes. The bulk -- roughly 75% of our revenues are with the multinational JVs and then 25% with what you would consider to be the locals, when you look at that 25% that's with the locals literally 80% or 90% of it is with the top 10 or the largest OEs that are in China. So I would say we have very little very little if any business with the China start-up space at this point in time.
Colin Rusch: Okay. That's super helpful. And then just turning to ADAS and the hardware evolution, obviously one of the advantages of your system is your ability to integrate some of these newer hardware pieces, but we're seeing significant investments in terms of the sensing technology. As you look forward and in some of your projections you've obviously made some commitments around LiDAR, but and there's a big debate with some of your -- some other systems out there in terms of whether a camera based system will ultimately prevail here. But as you look forward and look at future proofing the system what are you looking at in terms of really meaningful evolution in terms of that sensing technology over the next couple of years that's reaching critical points in development and what you would be looking for in terms of how you think about this system evolving over the next two or three years?
Joseph Massaro: Yes. Well, I think it's probably two, three years probably a little bit longer than that. But the reality is our view is now and has historically been that you need modalities to have you know -- we're going to have a tremendous amount of consolidation of compute power and quite frankly software and capability in the compute platform, so a fair amount will come out of the perception system that will be centralized. It will -- it will result in a much more powerful, much more effective, much more efficient and much lower cost solution for the OE. It's one of the models we've used quite frankly.
Operator: Ladies and gentlemen, currently we're experiencing some technical issues. Please stand by. This concludes the Aptiv First Quarter 2019 Earnings Conference Call. We thank you for your participation. You may now disconnect.